Operator: Greetings. Welcome to the Ekso Bionics Third Quarter 2021 Financial Results Conference Call. [Operator Instructions]. Please note, this conference is being recorded.  I will now turn the conference over to your host, Matt Steinberg. You may begin.
Matt Steinberg: Thank you, operator. And thank you all for participating in today's call. Joining me from Ekso Bionics are Jack Peurach, President and Chief Executive Officer; Jack Glenn, Chief Financial Officer; and Bill Shaw, Chief Commercial Officer.  Earlier today, Ekso Bionics released financial results for the quarter ended September 30, 2021. A copy of the press release is available on the company's website.  Before we begin, I would like to remind you that management will make statements during this call that include forward-looking statements within the meaning of the federal securities laws which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements.  All forward-looking statements, including our future financial or operational expectations or our expectations of the regulatory landscape governing our products and operations, are based upon management's current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements.  For a list and description of the risks and uncertainties associated with our businesses, please see our filings with the Securities and Exchange Commission. Ekso disclaims any intention or obligation, except as required by law, to update or revise any financial or operational projections, our regulatory outlook or other forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the broadcast today, November 2, 2021.   I will now turn the call over to Ekso Bionics' CEO, Jack Peurach.
Jack Peurach: Thanks, Matt, and thanks to everybody for joining us today. The third quarter reflected continued execution across our company as we reported improved revenues on both an annual and sequential basis. In the rehabilitation segment, we made significant progress with top inpatient rehabilitation network operators. And in the Industrial segment, we were able to win material orders with both existing and new companies in the automotive and aerospace segments.  Our flexible commercial offerings, which include capital sales and subscriptions, are giving our customers acquisition options. And we are encouraged by an increasing level of customer interest and engagement, as evidenced by growing sales pipeline in all segments.  For the third quarter, we generated solid revenue of $3 million, up 38% on a sequential basis. On the EksoHealth side of the business, we recorded 16 EksoNR bookings. While we continue to drive adoption of our subscription model, which provides purchasing flexibility for our customers, nearly all of our bookings in the quarter were through capital purchases. As a result of the capital purchases this quarter, we generated 2 subscription bookings this quarter.  On the industrial side, we are driving continued high level of customer interest via on-site evaluations. And our commercial team has produced several initial orders with leading companies, particularly in the automotive vertical with some of the newer participants in that industry. We remain focused on building greater awareness of our innovative EVO and EksoZeroG products.  Now I will turn the call over to Bill for an update on our medical segment and global commercial strategy.
William Shaw: Thank you, Jack. Our commercial team continued its solid execution with our 2021 plan. An increase in customer demand from inpatient rehabilitation facilities, supported by our targeted engagement strategy, resulted in an influx of capital purchases for our leading EksoNR exoskeleton devices. Many of these capital purchases were driven by deferred 2020 capital for strategic investments.  For the third quarter of 2021, we delivered approximately $2.7 million in EksoHealth revenue. Our rolling 12-month conversion and renewal rate is 77%. And we now have more than $1.2 million of contracted unrecognized revenue under our subscription model.  In the past year, we have been intensely focused on gaining traction with network operators, and we are pleased with the results. Because of our efforts, network operators have comprised 70% of our new U.S. bookings year-to-date, up from just 24% for all of 2020.  Penetration of this market is generating multisite, multiunit orders and our strong presence with the top networks in this space is enabling us to expand faster across the United States. One key in deepening these relationships is our introduction of the subscription model, and we continue to utilize subscriptions to accelerate EksoNR adoption, which is preferred among some of our larger network operators. We are generating closer relationships with our target customers more quickly under this model, and we expect to make additional progress utilizing this offering going forward.  On the international front, Europe has been a consistent strong performer for a number of reasons: First, we have improved strategic alignment with select partners who manage our indirect markets. Second, we developed a more efficient sales process through a virtual meeting focus and that has opened up more opportunities in our direct markets with outpatient neuro rehab centers.  And third, we continue to make progress with the BG network, an occupational and health care operator. Specifically, we are working with BG on a continuation of care pathway for our EksoNR, providing access from acute care to inpatient rehabilitation in a program for outpatient neuro rehabilitation. Europe remains an important region where we see significant opportunities for future growth.  Today, we want to share both the patient's success story and promising research being done at the Edgerton Neuromuscular Research Laboratory at UCLA. Ignacio Montoya is an Air Force officer and former F-16 fighter pilot whose spinal cord was injured in a motorcycle accident in December of 2012. Post injury, he not only was determined to recover but also to help others with spinal cord injuries.  Ignacio wasn't able to try Ekso himself until August of 2020. But as a result of his determination, he walked down the aisle on an Ekso at his wedding this July with the support of our customer, NeuroFit360. Ignacio and his wife and Ekso-trained physical therapists have been collaborating with Dr. Edgerton at UCLA to look at combining therapies of EksoNR and transcutaneous spinal stimulation in the hopes of helping more patients like Ignacio improve their recovery from spinal cord injuries.  In the first month of the clinical trial, Ignacio has taken more than 40,000 steps in the EksoNR and his injury has been reclassified as incomplete due to the work he has put in. We are eager to see the results of this collaboration.  As we near the end of 2021, we are excited about the progress of our commercial strategy. We are accelerating the sales cycle and increasing the overall size of each order. Additionally, our commitment to educate customers on the beneficial impact of our innovative devices, clinical training and program support is a crucial component of our strategy. This includes a number of exciting upcoming in-person and virtual events. We look forward to providing new updates on our progress in the coming months.  At this time, I'd like to turn the call back to our CEO, Jack Peurach.
Jack Peurach: Thanks, Bill. I would like to provide an update on the progress with our industrial segment, ExoWorks. First, we are pleased that our commercial team has generated greater awareness of EVO, which has in turn more than doubled EksoWorks' revenue compared to Q3 last year. EVO is quite appealing to prominent large industrial companies as it enables customers to mitigate employee fatigue, regulate productivity, increase worker retention and reduce the risk of injury.  Since launching EVO, we have made considerable progress with the automotive vertical, particularly with exciting new vehicle manufacturers. We also have seen strong progress in the construction vertical, most recently with solar panel installation.  As you can see, EVO's value proposition and our strong awareness efforts have enabled us to deepen penetration across several industrial markets. Our commercial team has produced a number of successful initial evaluations with large prospective industrial customers in recent months. And we are excited about the potential for strong future relationships.  I will now turn the call over to Jack Glenn to review our third quarter financial results.
John Glenn: Thank you, Jack. Ekso generated third quarter revenue of $3 million compared to $2.9 million for the third quarter of 2020. Our gross profit for the second quarter was $1.8 million, representing a gross margin of approximately 59% compared to gross margin of 63% for the same period a year ago.  The decline in gross margin was primarily the result of an increase in EksoHealth service parts and labor costs and changes in product mix. As a reminder, gross margin tends to fluctuate from quarter-to-quarter based on channel and product mix.  Operating expenses for the third quarter of 2021 were $4.6 million compared to $4.2 million for the third quarter of 2020. Net operating loss in the third quarter of 2021 was $2.8 million compared with a net operating loss of $2.4 million in the prior year period. The increase in net operating loss is primarily a result of higher general and administrative expenses as a result of increased employee headcount and compensation expense.  Gain on warrant liabilities for the quarter ended September 30, 2021, was $1.1 million from the revaluation of warrants issued in 2019, 2020 and 2021 compared to a $4.5 million gain associated with the revaluation of warrants issued in 2015, 2019 and 2020 for the same period in 2020.  Now turning to year-to-date results. Revenue for the first 9 months of 2021 was $7.2 million compared to $6.6 million for the same period in 2020. Gross profit for the first 9 months of 2021 was $4.3 million, an increase of 17% from gross profit of $3.7 million for the same period in 2020. Gross margin for the year-to-date period increased to 60% from 56% for the first 9 months of 2020.  Operating expenses for the first 9 months of 2021 were $13.6 million, a decrease of about 3% from $14 million for the prior year period. Net operating loss for the first 9 months of 2021 narrowed to $9.3 million from $10.3 million for the comparable period of 2020, reflecting higher year-to-date revenues and a leaner cost structure.  For the first 9 months of 2021, we recorded a gain on warrant liabilities of $2 million associated with the revaluation of warrants issued in 2019, 2020 and 2021 compared to $1.6 million loss associated with the revaluation of warrants issued in 2015, 2019 and 2020 for the same period in 2020.  Cash used in operating activities in the first 9 months of 2021 was $8.1 million. As of September 30, 2021, we had a strong cash balance of $43.4 million. Please see our 10-Q filed earlier today for further details regarding the quarter.  Operator, you may now open the line for questions.
Operator: [Operator Instructions]. Our first question is from RK with H.C. Wainwright.
Swayampakula Ramakanth: Obviously, an excellent quarter compared to what we have seen in the last 2 quarters of '21, and I really love the upswing in numbers. Just a little bit additional commentary, if you could, on the 16 bookings in the third quarter. I mean I tried to write down as much as I could from what you were saying. So were all the 16 bookings capital purchases? Or most of them are capital purchases, including 2 subscriptions within those 16? I'm just trying to get those things straight in my head.
Jack Peurach: Sure. Thanks, RK. The 16 bookings we had, of those 16, I might call in Adam for some support here, were all capital. We had -- is that right, Adam, all capital?
Unidentified Company Representative: 14 capital and two subscriptions makes up the 16.
William Shaw: Yes. I can add some color, Jack, that will help.
Jack Peurach: Please.
William Shaw: So RK, yes, if you look at it, we had -- actually had 14 capital deals in the quarter. We also had 2 subscriptions. So it was a little unique for us in the sense that most of the purchases did come from deferred capital, what we consider some holdover capital for 2020.  We also had a few donor scenarios. But as we mentioned, the subscription offering has opened up a lot of new opportunities. So we do expect this to remain a viable option, especially if you look at the network partners we've been working with. If we just look at year-to-date, 80% of the units they've acquired, at least from our top 5 networks, have been through subscription.  So again, it was a little bit unique, but I'd just say purchasing methods will vary quarter-to-quarter. So I wouldn't think about subscription as the only option we're focused on. Obviously, capital business is great for us to have, too. But that was the majority of what we saw this quarter.
Swayampakula Ramakanth: Bill, actually, that is very interesting because going into '21, late '21, my thinking was capital purchases would be less in number, especially with the budgets being weak or used up in other things other than buying capital purchases.  Having said that, what is your feelings on what is still left in the capital budgets for '21? Are people dipping into a little bit of the '22 budget just because they need to ramp up the business which they had lost in 2020?
William Shaw: Yes. It's a good question. So from our perspective, if we look at both businesses, on the health care side, what we've experienced is some holdover capital from 2020 that had to be spent by the end of this year. So we may see more of that, but I still expect to see subscription mixed in as well.  And then on the industrial business, we've also seen some experiences where customers have to spend a certain amount of capital by the end of the year as well. So I think more of it from our experience is holdover capital that needs to be spent by year-end versus new capital being pulled forward.
Swayampakula Ramakanth: One last question from me before I jump back into the queue. Having said what you just said and also having a month and some days into the fourth quarter, what are the trends that you are seeing? Just to get a feel for what we could be seeing in the fourth quarter.
William Shaw: Yes. I think for us, obviously, we talk a lot about networks, and we have a dedicated team focused on networks. It's obviously a very important part of our strategy, which is working. And I think our relationship has significantly improved this year with our customers, which I think is partially due to the talent we brought into the organization and our strategy of how we have aligned with them.  So one example of something we're doing and we're working with them on is what I call multiunit, multiyear agreements. Obviously, if we can start to move on those type of opportunities, that's going to give us greater predictability into our future. So that's something we're trying to accomplish.  But I'd also just add that being a mission-driven company, we believe every center should have access to our technology and the benefit of our technology. So we also have a group focused on regional networks, academic centers, stand-alone facilities.  So these are all important because they obviously contribute to our overall success. So obviously, we don't give a lot of guidance. But what I would say is that we expect to have a pretty solid mix between networks and independent centers.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Jack Peurach for closing remarks.
Jack Peurach: Thank you, operator, and thanks to everyone for joining us today. To recap, we had a solid third quarter in what is shaping up to be a strong 2021. Our team is focused on delivering 3 key value drivers: first, deepening relationships with top inpatient rehab operators; second, create greater order flow through our subscription model; and third, expand EVO sales by capturing new customers across a focused set of industry verticals.  By capitalizing on the momentum with top inpatient rehabilitation operators, it's becoming increasingly clear that they recognize the value that EksoNR can bring to their patients. Activity in the U.S. and Europe has risen significantly this year. And we remain optimistic as we close out 2021.  Our focus on inpatient rehabilitation network operators is working as this customer segment is making up an increasing percentage of our sales. Our subscription offering is also well received as it gives customers flexible acquisition options, allowing us to increase our pipeline and bring our solutions to a broader set of customers.  And finally, on the industrial front, we are increasing market penetration, particularly with leading large employers. Our commercial team continues to add new customers and our opportunity pipeline is growing.  We look forward to providing updates on our continued progress. Thank you, and have a great day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.